Operator: Good morning, and welcome to the First Quarter 2015 Earnings Analyst Call. My name is Brandon, and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. And I will now turn it over to Mr. Brad Alexander. You may begin, sir.
Bradley Alexander - Director-Investor Relations: Thank you, Brandon. Good morning, and welcome to FMC Technologies First Quarter 2015 Earnings Conference Call. Our news release and financial statements issued yesterday can be found on our website. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current expectations, beliefs and assumptions regarding future developments and business conditions, they are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. Known material factors that could cause our actual results to differ from our projected results are described in our 10-K, 10-Q and other filings with the SEC. We wish to caution you not to place undue reliance on any forward-looking statements, which speak only as of the date hereof. We undertake no obligation to publicly update or revise any of our forward-looking statements after the date they are made, whether as a result of new information, future events or otherwise. I will now turn the call over to John Gremp, FMC Technologies' Chairman, President and CEO.
John T. Gremp - Chairman, President & Chief Executive Officer: Good morning. Welcome to our first quarter 2015 conference call. With me today is Maryann Seaman, our Chief Financial Officer. I'll discuss highlights from the quarter, Maryann will provide specifics on our financial performance, and then we'll open up the call for your questions. Earnings were $0.63 per diluted share for the quarter. Total company quarterly revenue was $1.7 billion, and operating profit was $235 million. Quarterly revenue for Subsea Technologies was $1.2 billion. This is in line with the prior year quarter and as a result of continuing to execute our strong backlog and healthy service activity. Subsea margins increased both sequentially and year-over-year. Our focus on execution has enabled us to generate strong margins in a seasonally weak quarter. For the full year, we expect to show a year-over-year margin increase as the execution momentum generated in 2014 has been maintained in the first quarter and is expected to continue. Although our full-year subsea revenue will remain close to last year's record level, our ability to execute has improved. Our focus on standardization, process improvement, cost reduction, supply chain and rationalizing our workforce all contributed to these efficiency gains. As we continue to lean out the organization, we expect to further improve our cost structure throughout the remainder of the year. Our quarterly Subsea Technologies inbound totaled $552 million. As we anticipated, our subsea service activity remained strong. We did not announce any major awards in the first quarter and smaller project awards were also low. This level of quarterly project inbound was not unexpected as the subsea market is going through a period of project reevaluation. In this environment, with operators reassessing their project portfolios, award dates are moving to the right. There's some projects, however, that we still believe have a very good chance of being awarded this year. We expect to inbound at least $3 billion of subsea awards in 2015. This is based on our confidence in subsea service activity, as evidenced in the first quarter, and our expectation of awards supported by customer discussions that we expect to occur in the back half of the year. In our Surface Technologies segment, we're now experiencing significant declines in North American activity that exceeded the scenarios we discussed in February. Our fluid control inbound orders have fallen significantly this year. As this business does not carry a large backlog, the impact on revenue occurs quickly. In response, we have more aggressively implemented work force reductions and continue to work with our suppliers to reduce cost and minimize the effect on our decremental margins. Overall, we're not planning for this market to recover before 2016. Our surface wellhead business outside of North America continued to deliver strong performance in the first quarter. Activity was down sequentially, but increased year-over-year. We remain confident in our ability to deliver annual results at or near last year's record based on the strong market position we've built, particularly with the national oil companies in the Middle East. Now, returning to the subsea market. Subsea project returns must improve to ensure the market's long-term success and growth. Our strategy specifically targets shortening the time to first oil, reducing subsea development cost, and increasing overall production. As earlier announced, our alliance with Technip and the creation of Forsys Subsea, our joint venture that delivers vendor-based concept and FEED studies, provides a platform to improve returns. This alliance allows us to take the market-leading subsea production systems and surf capabilities of each company, and combine them in a way that was previously unavailable, ultimately offering cost savings that are both substantial and sustainable. With early involvement at the FEED stage, we can further drive product standardization and introduce vendor-based technology that cannot be placed within a traditional tender. In addition, we can also eliminate costly interfaces required when the two critical components of a deepwater development are managed separate and independently. We believe these changes reduce the overall costs associated with the combined subsea production systems and search scope by approximately 25% to 30%. We're confident these savings are achievable as we've not only tested this on previously executed projects, but also on projects currently under evaluation. Reaction from customers has been positive as both Technip and FMC are discussing projects previously thought to be uneconomic, as likely candidates for studies using Forsys Subsea capabilities. We expect that the first Forsys Subsea commercial study will occur this year in 2015 and as a result, EPIC award could happen as early as next year. Another example of the industry challenging task business models is the unprecedented agreement by four operators to fund the development of standardized, high-pressure, high-temperature equipment for deployment in the Gulf of Mexico. Even more encouraging is the level of interest we're receiving from other operators with fields requiring this new technology. More companies in the industry are recognizing the cost savings that are achievable through this unique collaborative effort to solve an industry challenge and will likely join this alliance. Looking forward, in the near term, we will continue to focus on execution while at the same time driving down cost and adjusting capacity to match lower activity levels. As a result, we expect to deliver solid margins, as well as create a more efficient cost structure. Deepwater reserves remain a significant current and future source of the hydrocarbons that will be required to meet both increasing demand and offset production declines. The subsea industry, however, recognizes it must reduce overall cost to improve returns and enable operators to proceed with the development of their significant portfolio of deepwater discoveries. Responding to this challenge, we are now positioned to be involved early in project design enabling the integration of critical development scope, while further advancing technology and standardization to drive down costs. Maryann will now take you through some of the financial details for the quarter.
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: Thanks, John. Our Subsea Technology segment delivered strong results in the quarter offset by both a steep market-driven decline in our North American Surface Technologies businesses and weaker results from our Energy Infrastructure segment. Subsea Technologies' operating profit was $169 million in the quarter with a margin of 14.6%. Operating margins improved 280 basis points quarter-over-quarter with operating profit increasing 19%. Operating margins, both sequentially and quarter-over-quarter, showed continued improvement in execution while converting a strong project backlog. Subsea service activities met expectations despite lower activities in the North Sea. In Subsea, we began to reduce head count in the first quarter where activity levels showed weakness. Over the next several quarters, we expect to further reduce the organization where standardization drives efficiency and regional activity levels require more efficient operation. Moving to our Surface Technology results, Surface Technology operating profit for the first quarter was $63 million, a 28% decrease from the prior-year quarter. Margins in the quarter were 14.1%. We incurred charges in the quarter related to head-count reductions and operational changes, which reduced the quarterly result. Absent that, our expectations for cost management and operating margins were essentially in line. Our surface wellhead business outside of North America continued to perform well as sales increased 13% quarter-over-quarter, with margins improving on continued strong execution, largely related to activity in the Middle East. The U.S. rig count has fallen by almost 1,000 rigs since the peak last fall. This has decreased our daily orders from pressure pumping activity significantly, as customer demand has weakened. As a result, our fluid control sales fell faster than initially expected. We are also seeing significant sequential declines in our North American surface wellhead and completion services business. We are in the process of consolidating facilities within our Surface Technologies portfolio in North America. Independent of the current market conditions, we are focused on improving our position in shale. We are reducing our cost structure, integrated-related services on the pad and introducing new technology. These efforts are all focused on reducing development cost and the overall footprint while decreasing the time to first oil. This will help us protect our decremental margins in the near term, while improving our competitive position as we further integrate our offerings. We have reduced our North American Surface Technologies head count in line with volume declines. We will have further reductions in the second quarter as we complete the operational efficiencies to achieve our North America integrated strategy. Segment backlog exiting this quarter stands at $520 million. This is predominantly related to our wellhead business outside of North America, which continues to show strength. Energy infrastructure operating income for the first quarter was $3 million with margins of 2.9%, which included restructuring costs. These results, while disappointing, were in large part due to delayed orders in the loading systems and measurement systems businesses still expected this year. However, execution improvements are required in the coming quarters to improve operational performance. Overall, in our segment operating results, we recorded $10 million of restructuring costs in the first quarter. We expect to record another $4 million to $5 million in the second quarter for further reductions across our businesses. Let's turn to the corporate items. Corporate expense in the quarter was $16.3 million. We expect spending of approximately $15 million per quarter throughout 2015. Other revenue and expense net reflects expense of $26.5 million. Our first quarter equity compensation cost is higher than the remaining three quarters due to the amortization period for certain awards, and we also experienced higher foreign exchange losses. For the remaining quarters of 2015, we expect this to be approximately $13 million per quarter subject to further foreign currency fluctuations. Our first quarter tax rate was 20%, which reflects the lower percentage of overall earnings subject to U.S. tax. We now anticipate our 2015 tax rate to be between 25% and 27% for the full year. Capital spending this quarter was $87 million primarily directed toward Subsea Technologies. We expect capital spending in 2015 to be approximately $250 million as expenditures will be lower through the remainder of the year. At the end of the quarter, we had net debt of $621 million. It is comprised of $695 million of cash and $1.3 billion of debt. We averaged 234 million diluted shares outstanding in the quarter. We repurchased 776,000 shares of stock during the first quarter at an average cost of $39.75 per share. Looking forward, we expect to deliver full-year subsea revenue that approaches $5 billion with margins of around 15% as we continue to execute well and manage operational cost. Our subsea services revenue should continue to remain healthy despite slowing North Sea activity. We continue to expect revenue similar to prior-year levels. Surface Technologies revenue is likely to be down approximately 25% from last year, given reduced North American market activity, with operating margins of approximately 12% to 13% for the full year excluding the cost of restructuring. Energy infrastructure revenue will be down approximately 20% year-over-year with margins of around 10% reflecting improved execution. Orders delayed from the quarter are still expected this year. Operator, you may now open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. From Evercore ISI, we have James West on the line. Please go ahead.
James Carlyle West - Evercore ISI Group: Hey, good morning.
John T. Gremp - Chairman, President & Chief Executive Officer: Morning, James.
James Carlyle West - Evercore ISI Group: John, a question on – we talked a lot about subsea kind of standardization or conformity on the last few calls. And I know you're having many more conversations at the sea level with your customer base. However, back in 2009, we did have a lot of these standardization talks as well. Could you maybe just elaborate on how it's different this time? How much more the market is embracing this idea of standardization of equipment?
John T. Gremp - Chairman, President & Chief Executive Officer: Thanks, James, for the question. You're right. The industry has been talking about standardization for decades. But there's been, for a variety of reasons, resistance to actually adopt standards. Some operators have been more successful than others. And I think it's – where they have been able to standardize, they've been able to demonstrate better project execution and lower oil development cost. In today's environment, and I don't mean today's oil environment, I mean, the rising cost of deepwater development with flat oil prices has, for the last three to four years, created an environment where operators' returns have declined. And that's the fundamental issue for the industry, is to reverse that. And all the conversations that we're having with major deepwater operators center around how they can improve their returns. And they all understand the importance of standardization. Not only does it improve execution, it lowers cost and lowers lead time. What's different this time is the determination by the operators to improve their returns and recognition of standardization is one of the best ways to do it. We see evidence of this in the high-pressure, high-temperature 20,000 psi equipment that we are developing for four operators. That is unprecedented in our industry that four operators would agree on a single standard, a single part number.
James Carlyle West - Evercore ISI Group: Right.
John T. Gremp - Chairman, President & Chief Executive Officer: And the impetus behind that is their conviction now, unlike in the past, to adopt industry standards. The conversations that we are having after our announcement of our alliance with Technip are similar in nature where the operators are very interested in how we can introduce standards early in the design and concept process. So, I think there's a real movement, if you will, to adopt standards in a way that has eluded the industry for several decades. And we're now getting evidence of that. Again, high-pressure, high-temperature equipment is probably one of the best examples of four operators. And I think there's – and there will be more to come that will adopt that standard.
James Carlyle West - Evercore ISI Group: Okay. That's very helpful. Thanks, John. And a follow-up for me. The alliance with Technip, I believe you mentioned, and I'll probably get these numbers wrong. I apologize. But the projects could lower costs by 25% to 30%. How much of this is coming from, say, the subsea construction part? How much is coming from the equipment, maybe standardization or using a little bit less equipment on the seabed? Could you maybe break that cost savings down a little bit more? And how much, I guess, is from just the lowering of the timeline of the deepwater project?
John T. Gremp - Chairman, President & Chief Executive Officer: The savings come from a variety of areas. But if you just look at the scope of the SPS and the SURF scope, it's about equally split. So, just looking at the scope, you'd expect both scope would find opportunities for reduction and it would come equally split from both pieces of the SPS scope and the SURF scope. So, I think if you had to guess, it's probably just 50/50. But there are very specific ways that this alliance drives down cost. First, as I mentioned, the opportunity to introduce standards. When we're involved through the concept design stage, through the FEED capabilities of FMC and Technip through the JV Forsys, we'll be able to influence the standards that are established. We'll be able to – both Technip Technology and FMC Technology would be able to be introduced at the concept stage which can significantly drive down cost. The other opportunity for reducing cost is the interface between these two critical scopes of subsea production systems and SURF. And this is, in both our testing of this concept and these capabilities with past projects and projects we're currently evaluating for our partners, we've found significant opportunities, again in that 25% to 30% reduction range, by actually eliminating hardware at the interface between SPS and SURF installation. We've also found opportunities to more efficiently install the subsea equipment including the production flow lines because we're managing the interface between SPS and SURF in a combined manner. So, right off the top of my head, more standardization, faster introduction to new technology, eliminating hardware at the interface between these two critical scopes, and the opportunity for more efficient installation because the two pieces are being integrated.
Operator: From Morgan Stanley, we have Ole Slorer on the line. Please go ahead.
Ole H. Slorer - Morgan Stanley & Co. LLC: Thank you very much. I wonder whether you could elaborate a little bit on these very strong margins that you posted in subsea in the first quarter. You took quite some initiatives on cost savings and efficiency gains last year. I just wanted to know how much stems from that and how much stems from a different business mix here in the first quarter.
John T. Gremp - Chairman, President & Chief Executive Officer: Ole, I'll start and then I'll let Maryann get into some of the details. As I mentioned in my prepared remarks, execution played a very important role. You've seen over the last 18 months where we have been consistently improving execution, and it continues to improve. So I'd say execution was a big driver behind the strong margins. We are also, even though our activity level in subsea is staying up because of our high backlog, we've started to take a number of actions to reduce our cost structure and some of that is starting to appear in margins. I think there'll be a lot more to come in future quarters. Let me ask Maryann to give a little bit more color on the margin performance.
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: Yeah. Just in terms of the mix, Ole, we saw a pretty similar mix in the quarter, subsea services versus our EPC that we have in previous quarters. You may remember this time last year, we did have two stacks down, and we incurred the cost associated with the recertification. Obviously, that didn't happen. But as John mentioned, a lot of this is really coming from the solid execution, the good work that's been done at these higher volumes, and again, the early work on head count this time. So, we feel pretty confident about our full-year margins in a range of 15%. You may think about the change from Q1 to Q2, perhaps not being as severe as it has in the past quarters because our first quarter is typically our weakest. But, again, mix pretty similar as it has been in prior quarters.
Ole H. Slorer - Morgan Stanley & Co. LLC: Okay. Thanks for that. I was just trying to figure out whether there was a big boost in subsea service activity or also something else that really changed the mix. But the follow-up question would be on the order intake, $550 million in the first quarter versus $3 billion minimum for the full year. I wonder whether you could talk a little bit about this step-up in activity, which is, of course, second half loaded. Is it contingent upon any particular projects? Is there any region that is important, for example new orders in Brazil? Just a little bit of color on the composition of the ramp in order intake.
John T. Gremp - Chairman, President & Chief Executive Officer: Ole, our subsea service inbound held up nicely as we expected. On a run rate, it looks, for the first quarter, full-year run rate if we maintain that level, and we absolutely expect that we will, it will mirror what we saw in 2014. So, somewhere in the $1.5 billion to $1.6 billion of subsea services makes up half of the $3 billion. Where does the rest come from? Some will come from smaller or less than $100 million orders. The first quarter inbound rate for those smaller orders was about half what we saw in the fourth quarter. We think that's the result of a bit of a stall or pause by the operators when they revised their budgets. There was a lot of distraction that first quarter. They weren't ready to proceed with some of the smaller projects that were on their list because they needed to get their budgets sorted out. Although we did book several hundred million dollars of small awards in the first quarter, it was down from what we saw on the fourth quarter. And we expect that to get back up to more normal levels in future quarters. And then, as we said in the last call, this focus on returns, the downturn initiatives, that capital pullback by the operators has caused them to evaluate and reassess their planned deepwater projects. And so, we fully expect that these projects would move to the right and start to be awarded in the second half of the year. We have been targeting several projects that we are highly confident will be awarded this year. And it's a combination of those larger projects that we have confidence in, an increase in the smaller projects that we didn't see in the first quarter, and then the run rate for service which we did see in the first quarter continuing that gives us confidence that we'll at least do $3 billion for the year. In terms of projects and regions, again, all the projects are moving to the right as they're being re-evaluated. Some of them will fall in 2015. Some will move into 2016. It's a little hard to predict right now whether they'll land this year or move into next year. In terms of regions, we're not looking for much in Brazil. As you know, Petrobras placed their big multiyear contracts several years ago, so we don't expect a lot of inbound necessarily in Brazil. We expect the Gulf of Mexico to continue to be strong. The big projects in West Africa, we just need to watch the timing because they will have a tendency to move to the right. So I'd say Brazil, a little softer. Gulf of Mexico should stay strong. West Africa will depend on the timing of these big projects as they get awarded.
Operator: From Barclays, we have David Anderson on line. Please go ahead.
J. David Anderson - Barclays Capital, Inc.: John, a question on kind of the margins in subsea maybe over the next 18 to 24 months, not necessarily this year. Particularly wondering about the backlog. As the orders come through and the pricing comes through, could you first comment on kind of how that pricing is looking on that backlog? And then, as we think about 2016 with lower orders coming in, how do we think about this? There's a couple big projects I know you have in that backlog as they roll out in 2016. If you could just give us some color on how you're expecting that mix to play out.
John T. Gremp - Chairman, President & Chief Executive Officer: Well, just – I don't know how – necessarily how material this is, but in the first quarter, we reported another increase in margins in backlog. Now, fair enough, the inbound that we booked in the first quarter was relatively light, but that's 12 quarters in a row of increasing margins in backlog. And that's – that makes us feel good. It makes us feel like the big backlog we've got, we're not showing margin deterioration. Now, we know going forward, as you pointed out in the next 18 or so months, with the shift of major projects being awarded later in the year of 2015 being a softer year for subsea inbound that there'll probably be more pricing pressure just in terms of the competitive environment. So, I'd see there clearly is the potential for some softening of margins, particularly at maybe major projects that would be awarded. Now remember, at the same time, we are significantly reducing our costs, so the balance in the supply chain costs are also coming down. So, how that actually plays out in terms of net margins to us isn't clear yet. But we should expect that there's clearly a chance and an opportunity that margins will become a little bit softer as we go through this slower period over the course of the next 9 to 12 months. Now, we get back into 2016, and the subsea awards start to be inbound at a more normal rate, hopefully, the margins would start to stabilize.
J. David Anderson - Barclays Capital, Inc.: Okay. Thank you. Another question, just getting back to your agreement with Technip. And I certainly understand the concept of standardization you've been talking about, but I think you – if I'm not mistaken, on the call that you had regarding this, that combined that represents around 30% of the overall development cost. Can you just comment a little bit on the rest of that, the 70% that you see out there in terms of what you think are kind of the big stumbling blocks? Obviously, we're trying to figure out how economics improve. And you've been pretty clear about how that works in your business. I was just wondering how you're looking at the rest of the business. Where do you think the stumbling blocks are in terms of some of these projects going ahead?
John T. Gremp - Chairman, President & Chief Executive Officer: Well, just – obviously, every project is different. But the ones that we look out, the 30% is, as you pointed out, is the combination between the SURF and SPS scope. It's split evenly. The other big number, and it's a big number in the sense that it's 50% of the overall development cost, is in drilling. After that, it's less than 10% pieces top side and so forth. So, actually, the combined SURF/SPS is the second largest component of a deepwater development. Now, what are the stumbling blocks? I mean the stumbling blocks, in my view, is really the industry willing to accept and adapt very different business models. It just doesn't make sense to me. It's illogical to think that we're going to get 30% plus savings over a complete deepwater development without doing something fundamentally different. And that's what is, I think, so attractive to the operators of the Forsys capabilities. They understand that we can't just keep doing things the same way we've always done them and then expect some huge material savings, at least in a sustainable way. And so, the reaction that we've got since the announcements of Forsys has been, well, extraordinary. Virtually every one of our partners and some of our non-partners have asked to know a lot more about Forsys' capabilities, including identifying specific projects that they would like to apply the Forsys capabilities to, to either improve their returns or make a project that was previously thought economic now economic so they can proceed with the development. But they also recognize, and I believe this time they're prepared – the operators are prepared in conjunction with Technip and FMC, to try a different business model so we can exploit those potential savings. I think that's the biggest stumbling block, is that sort of mind shift, if you will, or mindset to a different business model.
Operator: From Bank of America, we have Douglas Becker on line. Please go ahead.
Douglas L. Becker - Bank of America Merrill Lynch: Thanks. John, it doesn't sound like there's been any decline in subsea pricing yet, but you acknowledge the potential for some weakness. Maybe just for perspective, how much did pricing decline during the last down cycle? And is there any precedent for customers coming back and asking for re-pricing of existing backlog?
John T. Gremp - Chairman, President & Chief Executive Officer: I'll take the last part of your question. Historically, there hasn't been re-pricing of the existing backlog. Largely, it stays intact. There's been conversations about maybe how we can reduce cost, that certainly, particularly, in maybe some of our service rates and that sort of thing. But in almost every case, the conversation is around how can we change the scope, how can we do something different to reduce the cost as opposed to straight pricing. So when it comes to the existing backlog, and again, I'd point more to service work, the conversations have been around changing scope, doing things differently to reduce their cost, not necessarily pricing. With regard to what happened in the past, every downturn is different. I think it varies by projects. On our partner contracts, we tend to negotiate our contracts which look very different than a tendered project. So, Doug, I would just hesitate to put a number on what the pricing reduction is in a down cycle. It really varies. I don't think – we saw softness in the last downturn, but we were also able to offset some of that softness through cost reduction. I think we have a unique position because of our alliances. And our projects tend to be negotiated. So, we don't have, maybe, as significant swings in pricing as you do when you have a major project that is tendered by four different suppliers, and the opportunity for one to maybe be more – significantly more aggressive. So, I'd say our pricing declines tend to be a little bit more stable and moderated in a downturn than maybe the industry as a whole.
Douglas L. Becker - Bank of America Merrill Lynch: Sure. No, that makes sense. And circling back on subsea orders, it sounds like services were $400 million or so. So, really implies the onesies, twosies were, at least relative to history, very weak. As you think about that trajectory going forward, how much of that's dependent on customers with frame agreements where you might have a little more visibility or customers that you don't have agreements set in stone?
John T. Gremp - Chairman, President & Chief Executive Officer: When I said at least $3 billion, I say it with so much confidence because it's driven by our partners. So, that's just been FMC's history. Over 50% of our inbound typically has come from our partners. We added two more partners, last year; well, 2.5 really. We expanded one partnership. We keep adding the partners to our portfolio of companies that are committed to working with us. Those partnerships strengthen. So I think that's why when it comes to FMC's inbound projections, we've been able – I think the numbers I've thrown out, we've almost always hit over the course of the last four or five years. And that's because it's built on, mostly on these partnerships where we have a lot more confidence, obviously, that we'll win the award, and we have a lot more visibility of the status of the project whether or not it's going to go forward. And I think that's what supports my confidence in $3 billion. Beyond the $3 billion, it's going to depend on our alliance partners, whether or not they go ahead with projects and they make it into this year. And then also projects that are not with our partners where there's more uncertainty.
Operator: From Howard Weil, we have Bill Sanchez on line. Please go ahead.
William D. Sanchez - Howard Weil: Thanks. Good morning.
John T. Gremp - Chairman, President & Chief Executive Officer: Morning, Bill.
William D. Sanchez - Howard Weil: John, I was hoping perhaps you could update us on the backlog in Brazil just in general. I know at year-end, that number was just over 20% of your total backlog. And I think on the 4Q call, you all had mentioned that Petrobras had asked for about $100 million in shipments to be pushed to next year. Any updates there you could offer will be helpful.
John T. Gremp - Chairman, President & Chief Executive Officer: With regard to the Petrobras backlog which, I think you know, we won those orders, the trees plus the manifolds; that was over a four-plus period. We're about halfway through that now. There has been no change in terms of pricing, cancellation of that backlog with the exception of that $100 million of trees that was moved to the right. And I – although we don't like things necessarily moving to the right, that wasn't quite so bad for us because it gave us a chance to smooth out production and avoid some capacity additions that we may have had to make. So it wasn't necessarily a bad thing for us. So, no change to the backlog other than that $100 million shifting to the right. We have the ability now, with that backlog for 2015 and 2016 in terms of revenue, to be fairly stable. And actually, some of the backlog rolls into 2017 for Brazil. So, we've got this year and next year in pretty good shape in terms of our available capacity. And then 2017, part of the year is already covered by our existing backlog. Again, no change other than that – other than those trees that are moving to the – moved to the right.
William D. Sanchez - Howard Weil: Is there an opportunity for some initial awards to be made on the pre-salt award on Libra, perhaps, before year-end?
John T. Gremp - Chairman, President & Chief Executive Officer: There's just so much uncertainty with Petrobras right now. We know that they are focused on pre-salt. We know that they are focused on Libra. But given the general uncertainty with Petrobras right now, to make a call that Libra's going to make it into this year might be – well, that just might be kind of over-forecasting there. I don't know. I know that they're focused on pre-salt, I know they're focused on Libra. There will be onsie, twosies out of Brazil. Actually, one of the smaller awards that we inbounded in the first quarter was from Petrobras. So, there'll be small ones. But the big projects like Libra that you're referencing, I'd say there's still some uncertainty whether or not that makes it in 2015.
Operator: From IBERIA Capital, we have Rob MacKenzie on line. Please go ahead.
Robert J. MacKenzie - IBERIA Capital Partners LLC: Thanks. John, I wanted to come back to a topic you've already talked about a little bit with a slightly different spin I guess. And that is how many of the big project awards that are out there that you guys listed in your presentation and others are really contingent on either operators adopting a different business model to make the returns work versus how many of them do you think can be made to work and be committed to with just business the way it has been with some cost reductions and maybe a slight oil-price recovery?
John T. Gremp - Chairman, President & Chief Executive Officer: In today's environment, I believe virtually all projects are being challenged in terms of what can be done different to improve the returns. So, I don't – if you look at every project on the list, and some are way more advanced, but by and large, almost all of them are being questioned and reevaluated if, for no other reason, just in light in terms of the industry downturn. But others are being evaluated in terms of opportunities to do things like the capabilities that come from the Forsys concept. There are some projects, however, a couple anyway, on our list for 2015 – I'll sort of leave at a couple, that right now are probably uneconomic and would not successfully go through the FID process unless they are reworked. So, those would not go forward unless they were successfully reworked. The rest are being reevaluated, but they're still economic. And I think the operators are looking for an opportunity to improve returns, either because of the market environment or some of these new approaches that are now – at least our company is presenting to them.
Robert J. MacKenzie - IBERIA Capital Partners LLC: Great. And I guess my follow-on would be, as a result of the Forsys joint venture, can you share anything with us about what might be your biggest opportunity to perhaps pick up some market share that I think you hinted at earlier?
John T. Gremp - Chairman, President & Chief Executive Officer: Well, every single one of our partners has, since the announcement, called us in to review the Forsys capabilities and how it could apply to their portfolio. Several of those partners have actually identified candidates to proceed with applying the capabilities. We have also had conversations with non-partners who are interested in the concept, and they, too, have identified candidates at which we would apply the Forsys capabilities. So, I think Forsys gives us the opportunity to strengthen the partnerships that we currently have and to potentially add new partners or expand our market position. I might mention, though, this isn't related to Forsys, but it is related to the idea of how our company can offer opportunities to improve returns. And that's back to the high-pressure, high-temperature equipment that we're building for the Gulf of Mexico. The four companies that are part of that consortium were also FMC partners. But we now have non-partners that are asking or considering, I should say, and they're actually well into the evaluation of whether or not they can participate in that consortium. Well, clearly, that will be an opportunity for FMC to pick up market share with non-partners if, in fact, some of those companies join the consortium.
Operator: From Guggenheim, we have Michael Lamotte on the line. Please go ahead.
Michael Kirk LaMotte - Guggenheim Securities LLC: Thank you. Good morning. I just want to follow up on the CapEx number, make sure I heard that correctly. $250 million for the year, Maryann?
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: That's correct, Michael. About $250 million for the year.
Michael Kirk LaMotte - Guggenheim Securities LLC: And how much of that is considered maintenance, sort of your ongoing run rate?
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: Yeah. So, in general, our maintenance CapEx runs 40% to 45% in the last couple years. As you know, we've been expanding both in capacity for our general EPC business. And then more recently, our spending has been focused on growth in the subsea services business. So, a lesser percentage, obviously – excuse me, a greater percentage of it now, obviously, is maintenance as the number gets smaller. This year, we've got a couple of projects in services. We're continuing to build out the fifth Light Well Intervention stack to go with our JV. And there's also some drilling and installation tools necessary for the completion of the services business as well. But typically, it's about 40% to 45%.
Michael Kirk LaMotte - Guggenheim Securities LLC: Okay. And then on the cycle time for the stacks, that's a pretty long lead item. Is there a risk that, in 2016, services revenues essentially stall as a consequence of not having new equipment to drive services revenue next year?
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: So, for 2016, our services business, you know what? We're a little early days. But we think, obviously, we'll still have a strong installation piece as the trees still need to be installed from this growth that we've seen over the last couple years. Our fourth stack will go into service in the second quarter of this year. And while there are a little bit of headwinds, given this industry, we are still confident that we'll continue to see opportunities for contracts for that stack this year. And then also, some of the other capabilities, once we have our vessel operating in the Gulf of Mexico, should also add to that. So, we're hopeful that we'll be able to see a subsea services revenue in 2016 that looks like 2015 and potentially growing. But that will be a struggle to grow for growth in 2016.
Michael Kirk LaMotte - Guggenheim Securities LLC: Okay.
John T. Gremp - Chairman, President & Chief Executive Officer: Michael, this is John. I want to maybe add to what Maryann said. We're – the fourth stack arrived in the Gulf of Mexico in the first quarter pretty much on plan. We've spent the last couple months doing commissioning. It'll be ready for service later this quarter, and we've now received our first contract for the Island Performer. So, we'll be performing our first work for that vessel in May, and that's really encouraging. We've got opportunities with projects or contracts after that. So, we're encouraged that the fourth stack that we built is going to be put into service pretty much as we planned earlier this year. Now, that won't – I mean, these numbers are relatively small, but in terms of our ability to expand our service offering in the subsea market, and the operators responding to that, we are encouraged.
Michael Kirk LaMotte - Guggenheim Securities LLC: Okay. John, if I could ask a follow-up with you just thinking through structural changes in the market, organic growth has really been the engine for FMC from the beginning. I'm wondering with excess capacity in the market and, perhaps efforts to reduce costs through a broader product offering, if M&A doesn't come up on the radar screen as a way to enhance growth in the next few years.
John T. Gremp - Chairman, President & Chief Executive Officer: Well, when you – our organic growth is not done yet. I just mentioned the fourth stack on services. We have plenty of potential to grow our service revenue. We haven't talked much about processing. That's an important growth platform for our company. We're expecting two processing projects to be awarded still this year. And although we'll go through somewhat of a lull in subsea project awards, primarily because projects are being reevaluated and shifting to the right. That recovers in 2016, and we get to a more normal rate of subsea orders. That provides significant growth to meet our expectations, and our company is focused on that. With regard to M&A opportunities, as you know, most of our M&A has been focused on adding the capabilities that we need to grow the company organically. And by and large, that's still our plan. But in today's environment, there will be opportunities for us to look at opportunities to maybe more quickly acquire the capabilities we need to add to our current suite of products and services and continue to grow the company.
Operator: From Tudor, Pickering, Holt, we have Byron Pope on the line. Please go ahead.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning. John, as it relates to your shale offering, as we think about the eventual recovery in North America whether it's later this year or early next year, could you just give one or two examples of how your integrated offering should help differentiate FTI in the North America surface business going forward versus some of your smaller competitors that compete in discrete elements of the chain?
John T. Gremp - Chairman, President & Chief Executive Officer: Well, Byron, you know that there's been a lot of efficiency improvements in shale development. A lot of them have concentrated on the drilling side, on the geology side, on the down-hole side; a lot of improvements on the on the fracking side. We believe there have been less efficiency step changes once the final frac is done and then you're selling your first barrel of oil. And I think that is a really ripe opportunity for the industry to demonstrate the same kind of efficiency improvements that the more upstream part of the process has already been able to achieve. FMC is uniquely positioned to drive those efficiencies because not only are we providing the wellhead equipment, we're providing the frac rental equipment, we're providing the completion equipment and we're providing the flow-back services. I don't think any other company has that combination of services. Today, the operators are contracting each of those services and products out separately with separate crews. There's no opportunity to integrate those pieces in a cost effective way, no opportunity to standardize. I understand every metering skid is unique to that particular pad. Their separation systems, whether it be temporary or permanent, are unique to that pad. There are tremendous opportunities for integration and standardization and bundling of services and products that, really, no other company has that capability, or if they do, they don't have the leadership position in those capabilities to pull that off. We've been working with several operators on either bundling these capabilities, providing standard equipment, introducing new technology for more efficient separation, for example. And we're very encouraged by the, at least the early signs of efficiency improvement that we can get from that final frac to that first oil. That'll give us a competitive advantage, and I think gives us a competitive advantage over other companies that don't have that suite of products and services.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: That's very helpful. Thanks, John. That's it for me.
Operator: From Susquehanna, we have Chuck Minervino online. Please go ahead.
Charles P. Minervino - Susquehanna Financial Group LLLP: Hi. Good morning.
John T. Gremp - Chairman, President & Chief Executive Officer: Morning, Chuck.
Charles P. Minervino - Susquehanna Financial Group LLLP: Hey. Just wanted to ask you, John, conceptually thinking, I know it's a little early to be thinking about 2016 kind of subsea orders, but just trying to figure out, do you think 2015 is kind of that trough year of orders? Or did 2015 kind of benefit from some stuff that was still pretty far along in the pipeline and you kind of win those awards this year and maybe 2016 kind of trickles a little bit lower, or if you think so much got pushed from 2015 to potentially in 2016 that 2016's likely to be up? Just kind of want your thoughts on that right now.
John T. Gremp - Chairman, President & Chief Executive Officer: Well, thank you for the question, Chuck. Let me start, though, by describing the conversations we're having with our partners and actually virtually every operator. The commitment by our partners and non-partners alike in terms of developing their huge deepwater portfolios that they have been so successful at discovering, their commitment to development has completely unchanged. There's been no evidence that I've seen in these conversations that the operators have had any change with regard to their plans to develop their portfolio and deliver future production from deepwater. Virtually all the conversations are about how can we lower cost, do things different, improve returns, so we can get on with developing our portfolio and delivering the production from our deepwater assets. So, in that context, what the operators are doing is they're looking at their long list of projects that they had originally planned a year and a half ago, two years ago to go through FID process and award projects and proceed with the development. That long list for 2015 is being reevaluated. And those projects – and the process of that reevaluation, which takes time, is pushing those projects to the right. And that's one reason why you didn't see a lot of major projects, or certainly for us, major projects being awarded in the first quarter. And it's why we believe that the projects that will be awarded this year are going to be pushed to the back end of 2015. There will be some projects that will move from 2015 into 2016. But this reevaluation process is a temporary stall or delay while they go through that reevaluation. The reevaluation doesn't take years. Eventually, these projects get reevaluated. They get back into the FID queue and you start seeing awards. You're going to see that in the second half this year. And then as you get into 2016, you're going to get back to a more normal flow of subsea awards because they would've gone through this FID queue and they'll get back to their developing their project portfolio. I'm quite confident of that. Therefore, when you look at 2016 inbound, and I'm obviously way ahead of my skis predicting what 2016 inbound will look like. There's no reason to believe that it won't be higher than 2015 because you won't have this six-month delay while they go through the reevaluation process. So, absolutely, it should start to return to normal in 2016 as the operators are successful in reworking their projects.
Charles P. Minervino - Susquehanna Financial Group LLLP: Great. That's a very helpful description. And then I just had one for Maryann as well. I don't think I heard this in the prepared remarks. But I was wondering if you can give us kind of the restructuring charges by segment just so we can get a sense of kind of what more the recurring margins were in these segments during the quarter.
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: Sure. Yeah. You're right. I gave you a total. So, in total, we spent about $10 million. About 75% of that or about $8 million of it was actually in Surface, some of it obviously in fluid as well. So, $8 million in surface. I think hence my comment there, so if you exclude those, the margins that we were talking about within the Surface Technologies segment a quarter ago are really about what we were able to achieve in the first quarter. Subsea is about 10%, small. We're in the early stages of that. We've got a lot of backlog to execute. The lion's share of the work that we'll do in Subsea will happen in the coming quarters. And then of that $4 million to $5 million that I talked about going forward, most of that will be in Subsea. And then Energy Infrastructure was the balance, about 15% of that, a little over $1 million in the quarter. That help?
Operator: From Citigroup, we have Scott Gruber on the line. Please go ahead.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): Yes. Thanks. Good morning.
John T. Gremp - Chairman, President & Chief Executive Officer: Morning, Scott.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): John, I'd like to get your updated thoughts on the pace of share buybacks. I recognize that you continued to repurchase. But just given where the stock is trading at, given your current backlog and your optimistic outlook toward recovering and project sanctioning in the second half of the year and into next year, would you consider accelerating the buyback at this point? Would you consider putting on some debt to accelerate that pace?
John T. Gremp - Chairman, President & Chief Executive Officer: Scott, as we continue to manage our balance sheet better and better, we would hope that we would continue a strong cash flow. And with the stock, in our view, undervalued given where we are in the cycle, we'd expect share repurchase to be significant going forward. We – in the first quarter it was a little lower than what you saw in the fourth quarter. That was driven solely by us being in a blackout period because of the Forsys announcement. So I wouldn't look at the first quarter as necessarily being indicative of going forward. As long as we continue to generate the cash that we expect we can and the stock is undervalued as we believe it is, the stock repurchase will be an important part of our returning cash to the shareholders. I'll let Maryann add some comments.
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: Just maybe one other thing to add onto John's comments, we just received an additional authorization from our board of 15 million shares. So, that gives about 22 million shares left under the authorization. So, I think you can expect in the coming quarters given the valuation, as John said, that you will see us return to more discretionary purchasing given the valuation that we see, but unlikely this year that we'll take on debt. Clearly, in this environment, we'll be managing our cash as well, as we're watching strong cash flows, of course, but we'll be managing cash as well.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): And, Maryann, how much cash is required to run the business? And would you consider drawing down the cash balance a bit to accelerate that buyback?
Maryann T. Seaman - Chief Financial Officer & Executive Vice President: Yeah. So, we've actually just gone through a pretty lengthy exercise as we look out over where cash needs are going to be inside U.S., outside U.S. We've just increased our thresholds for cash requirements outside the U.S. as we see quite a bit of growth. Given the lower capital expenditure that we've got estimated for this year and probably again for next year, we should be generating ample cash to be able to handle the share repurchase as well as run the business. So, really don't – and of course, as you know, we've got a quite a bit of liquidity available to us. Very solid balance sheet. So, we don't see any issues with managing the business this year, as well as being able to be opportunistic with respect to our share repurchase.
Operator: And our last question from Credit Suisse, we have Jim Wicklund on the line. Please go ahead.
Jim K. Wicklund - Credit Suisse Securities (USA) LLC (Broker): Good morning, guys.
John T. Gremp - Chairman, President & Chief Executive Officer: Morning, Jim.
Jim K. Wicklund - Credit Suisse Securities (USA) LLC (Broker): A question. You guys have mentioned that there needs to be a step change in the industry, and this is a little bit of a follow-up on Chuck's question. A step-change in the industry in terms of oil company behavior and standardization acceptance and by definition, a step change requires some dislocation of the linear trend. And so the question is, and kind of like Chuck's, is this the nadir of the year of dislocation and the recovery expectation you have for next year, assumes that these step change issues have been resolved? This will be your fourth consecutive year of declining subsea orders, so is this the bottom and the recovery we're looking for in 2016 means that these step-change issues that you've talked about the last couple of quarters will be resolved by then?
John T. Gremp - Chairman, President & Chief Executive Officer: Jim, the step change is fundamental to the operators to change their trend of declining returns. Subsea projects will be awarded. Some will be awarded with and without the step change as we've seen over the last few years. The step changes allow the operators to completely develop their entire portfolio of deepwater. There's over 400 deepwater discoveries that have yet to be developed. The pace of new discoveries versus projects that are being developed is greater, and we need to get on – the industry needs to get on with accelerating the development of their discoveries, and that's only going to happen with a step change. But the 2016, for example, and those improvements in subsea awards is going to happen in part because of the step change and also independent of the step change because there are projects in that queue that are economic and can contribute to our customers' production without the step change. But ultimately, the industry needs to do a step change so they can develop all their projects in their portfolios.
Jim K. Wicklund - Credit Suisse Securities (USA) LLC (Broker): Okay. And my follow-up, if I could, there's a number of companies out there now doing FEED studies for deepwater and subsea development. And so, you say Forsys will probably win its first commercial award this year, and best of luck. When should we see Forsys winning a FEED study start to turn into actual orders and then revenues for obviously Technip, but for you guys? What's my timeframe of this actually seeing results?
John T. Gremp - Chairman, President & Chief Executive Officer: Right. So, as I said, we expect to get a FEED study this year, which is pretty fast. Once the FEED's done and it demonstrates the savings that we are confident that it will and that project goes forward, it still has to go through the final investment decision process, and that takes – well, it varies company by company, but it can take six months to a year. So, we don't expect the first EPC contract until 2016.
Operator: Thank you. We will now turn it back to you, Brad Alexander, for closing remarks.
Bradley Alexander - Director-Investor Relations: This concludes our first quarter conference call. A replay of our call will be available on our website beginning at approximately 2 PM Eastern Time today. We will conduct our second quarter 2015 conference call on July 22 at 9 AM Eastern time. If you have any further questions, please feel free to contact me. Thank you for joining us. Brandon, you may now end the call.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. We thank you for joining. You may now disconnect.